Operator: Welcome to Rent the Runway's Fourth Quarter and Full Year 2022 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] I would now like to turn the call over to Rent the Runway's Vice President of Investor Relations, Jackie Blatt. Thank you. You may begin.
Jackie Blatt: Good afternoon, everyone, and thanks for joining us to discuss Rent the Runway's fourth quarter and full year 2022 results. Joining me today to discuss our results for the quarter and fiscal year ended January 31st, 2023, our CEO and Co-Founder, Jennifer Hyman; Chief Financial Officer, Scarlett O'Sullivan and SVP of FP&A, Sid Thacker. During this call we will make references to our Q4 2022 earnings presentation, which can be found in the Events and Presentation sections of our Investor Relations website. Before we begin, we would like to remind you that this call will include forward-looking statements. These statements include our future expectations regarding financial results, guidance and targets, market opportunities and our growth. These statements are subject to various risks, uncertainties and assumptions that could cause our actual results to differ materially. These risks, uncertainties and assumptions are detailed in this afternoon's press release, as well as our filings with the SEC, including our Form 10-K that will be filed in the next few days. We undertake no obligation to revise or update any forward-looking statements or information, except as required by law. During this call, we will also reference certain non-GAAP financial information. The presentation of this non-GAAP financial information is not intended to be considered in isolation or as a substitute for financial information presented in accordance with GAAP. Reconciliations of GAAP to non-GAAP measures can be found in our press release, slide presentation posted on our Investor website and in our SEC filings. And with that, I'll turn it over to Jen Hyman, Co-Founder and CEO of Rent the Runway.
Jennifer Hyman: Thanks, Jackie, and thank you, everyone, for joining our earnings call today. I'm really excited for 2023, as I believe it will be a transformative year for Rent the Runway. We have entered a new era for the company where the majority of our internal resources are focused on investments for our customers. As we've shared before, the market for fashion, subscription and rental, which we pioneered, is taking off and is expected to see massive growth over the next decade. It's our belief that we have built the brand and infrastructure to capture this opportunity. We have conviction that the way we grow and become a profitable business is by ensuring that we are adding tangible value to our customer experience quarter-over-quarter. We already kicked off this strategy in early March of this year by changing all our subscription programs to offer more items for the same price with minimal impact to our gross margins anticipated versus fiscal year '22. And the customer response has been incredible. I'm excited to share more throughout this call. But first, let's close out 2022. I'm pleased to report that we had a strong finish to fiscal 2022 as we exceeded guidance on both the top and bottom lines. On our earnings call at the beginning of fiscal 2022, we laid out two key priorities for the year. One, to grow revenue 45% to 50% in fiscal 2022 and two, show progress on our path to profitability. I'm proud to share that we achieved both goals. In fiscal 2022, we grew annual revenue 46% year-over-year to $296.4 million, which accelerated up from 29% revenue growth in fiscal 2021. We posted three consecutive quarters and our first full year of positive adjusted EBITDA since IPO, generating adjusted EBITDA of $6.7 million for the year. Fiscal '22 was notable for the decisive actions we took to position Rent the Runway as a financially stronger business. We right-sized our fixed cost base, cutting approximately $25 million in fixed operating expenses versus our Q2 2022 run rate. Financial discipline is firmly embedded in our operating culture. We extended our debt maturity and substantially reduced cash interest expense by over $20 million during the next two years. The cumulative impact of the decisions we have made since 2019 is highlighted by our 40% gross margins after fulfilment and product costs that are better than many traditional retailers and online peers on a comparable basis. Equally important is the progress we have demonstrated on product acquisition. We acquired almost 60% of our rental product in full year '22, either on consignment through our Share by RTR program or through lower cost exclusive designs. Our product acquisition success provides a powerful competitive advantage for our business. We believe our gross margins are healthy, our cost structure is right-sized and our rental product acquisition is increasingly efficient. Our primary task is to grow a larger subscriber base at our current margin structure leads to improved free cash flow. The thing we were not satisfied with in fiscal 2022 was our subscriber growth. We ended the year with 127,000 active subscribers. We've mentioned before that we believe the price increase we took in April 2022, though beneficial for revenue and profitability, hurt our subscriber growth, especially given that the price increase did not correspond to meaningful improvements in customer value or experience. We have long-term relationships with our customers via our subscription product and it's critical that they feel that their experience is always getting better, which is our strategy for 2023 and beyond. As of April 8th, 2023, we've already rebounded to an all-time record high of over 141,000 active subscribers, which gives us early signs that our growth strategies, which I will discuss later on this call in greater detail, are working. Before I discuss our plans for fiscal 2023, I want to discuss our path to free cash flow profitability. As the founder of this business who sees Rent the Runway as my life's work, it's my number one goal to create a self-funding company that generates cash and captures the massive global opportunity for a Closet in the Cloud. The customer thinks about building her wardrobe in a way that is completely different than just ten years ago. She's open to second hand. She's willing to subscribe and rent, and it's our job to capture the growing market we built. The good news is that these goals are consistent. A larger subscriber base at current gross margins and fixed costs should lead to free cash flow profitability. While Scarlett will walk through more details, we are making rapid progress. Our expected free cash flow in fiscal 2023 is at least $42 million better than in fiscal 2022. A reduction in cash consumption of approximately 50%, as we will discuss shortly with 158,000 average active subscribers, a level consistent with our minimum 25% subscriber growth guidance for this year. We might expect a further $20 million improvement in the cash consumption from our base business. The details of our business can be complicated to understand. So we are providing additional information to help illustrate the important strides we are making towards generating free cash flow. Finally, as Scarlett will outline, we think we are well within reach of an active subscriber base that is able to generate enough cash to sustain itself and begin to contribute towards our growth requirements. It's imperative that we capitalize on the significant growth opportunity that lies ahead of us. Let me walk you through how we plan to grow in fiscal 2023 and beyond. Our growth plans revolve around our customers and seeking to improve every facet of their experience with Rent the Runway. We believe doing so provides important benefits to retention as well as organic customer acquisition. While you can see in our earnings presentation that we enjoyed strong revenue retention. We believe that focusing on customer experience can drive further improvements to retention. About half of the total subscribers who leave us do so within their first 90 days. Improvements to their experience can be powerful drivers of growth. While we aim to retain more of those customers, the benefits go well beyond that. Our longer tenured subscribers leave us at a fraction of the rate of these newer subscribers. Thus, retention improvements would not only add more customers, but also keep them significantly longer. Finally, more satisfied customers are key to driving organic growth for our business. The majority of our historical subscriber acquisitions have been organic, and almost 60% of customers hear about us from someone they know. Our customers have always been our best marketers. New customers will undoubtedly hear about the more positive experience we are trying to create via word of mouth. We started off our year with a bang by changing all of our subscription programs to include an extra item in every shipment, offering 25% more value for the same price. With this launch, our base program shifted from four items to five items per shipment. So for the substantial majority of subscribers who pay $144 for two shipments per month, they are now receiving ten items versus eight items previously. The math is simple for customers in our ten item plan. Each designer item now costs $14. This pricing is meant to go head-to-head with Fast Fashion, but of course, we believe Rent the Runway beats Fast Fashion by offering the quality of real designer fashion more variety with our hundreds of brands and constantly rotating styles and of course a more sustainable way to get dressed. We had data from years of testing across various economic environments demonstrating that subscription loyalty is directly related to how many items customers wear from us every month. Giving her more items per shipment means there's a higher likelihood more items will fit, she'll wear more items, and her rental behaviour will be cemented. Thus far, we've seen exciting results from our extra item launch. Few highlights are active subscriber count has grown to over 141,000 subscribers as of April 8th, 2023 the highest number of active subscribers we have ever had. We are seeing significantly higher loyalty improvements amongst our full customer base than we had expected, meaning both completely new customers to Rent the Runway and tenured customers have all been churning less. Former subscribers are re-joining our program. Acquisitions of churners for the month of March were up 24% from levels just prior to launch. Our paused subscribers have reacted extremely positively. We have seen a several percentage point decline in our [Technical Difficulty] population as a percentage of total subscribers from 26% at the end of fiscal 2022 to 22% as of April 8th, 2023. Here's one great example of how far we've come over the past few years. Following the launch, we've seen some of the highest volumes of units processed in our DSD since the fall and winter of 2019. However, our ops productivity rates so far this year are nearly double what they were three years ago meaning to process the same volume, we need 43% fewer associates. Looking ahead for the rest of 2023 to drive improvements in loyalty, we are investing deeply into our customer experience. This makes sense because Rent the Runway has a fundamentally different model than other retailers where experience is our product. Typical e-commerce sites, the clients purchasing a few times per year, whereas Rent the Runway subscribers are interacting with our website and app and selecting, receiving, wearing and returning multiple pieces several times per month. The physical and digital experience of a subscription to fashion matters immensely. It's our job to continue making it easier and more delightful for our customers over time. There are three pillars of our strategy in 2023. These pillars are informed by rich data we have collected from current and former customers around what drives their loyalty and our biggest opportunities for improvement. Our three strategic pillars are in service of those opportunities. First is getting her more of the inventory she wants when she wants it. Second is best-in-class product discovery. And third is increasing the efficiency and ease of use of our experience. Regarding the first pillar of getting her more inventory she wants when she wants it. In 2023, we are planning to invest $69 million to $72 million in rental product CapEx to support our existing customer base and anticipated growth in subscribers. We are focused on use cases that are relevant to her today, such as workwear. We are investing in greater depth amongst brands and styles customers love so that more of her desired styles are in stock when she's browsing and picking for her next shipment. We also have a renewed focus on inventory freshness and are strategically exiting inventory at the right moment in its life cycle, leveraging our pricing algorithm to optimize monetization of our inventory base. Our second pillar is best-in-class product discovery. Right now, Rent the Runway is at par with most fashion retailers related to how customers find, filter and search for inventory on our platform. We want to be way better given how many items a subscriber has to select from us each month. Giving women access to variety and bounty is the basis of my vision for a Closet in the Cloud. The freedom to try something new and express yourself through fashion however you want is powerful. At this point, Rent the Runway already has an awesome matrix of designer brands and styles, and my opinion is that this Closet in the Cloud is one of our biggest competitive advantages. To fully capitalize on this advantage, we want to make it way easier and more fun for customers to access this fashion. So this pillar invests in tools, features and algorithms that will bring our competitive advantage to the forefront of our customer experience. We need our customers to understand that we have just as many options for her day in the office as we have for her upcoming beach vacation and that we are the very best place to access trends and keep her wardrobe updated. Best-in-class product discovery will come to life across three areas on Rent the Runway. First, passive discovery, which means she doesn't know what she wants and needs to be inspired. We plan to create a large set of immersive curations of our products created by humans powered by AI tools. This will allow prospects and subscribers to better understand the myriad ways she could use her subscription. Second, active discovery is when she knows what she wants and she wants to find it efficiently. By leveraging foundational technology, product catalog and database work done in 2022, we aim to improve search and filters, so it's much quicker to get exactly what she's looking for. Third is stalled discovery. This is a somewhat unique challenge to rental. When she wants something, but it's not available right now, we plan to ensure she never hits a dead end and we are always recommending similar items to satisfy her needs. We have already made progress on Discovery in 2023. In March, we rolled out a much asked for feature called Rent the Look, which showcases how to rent the full outfit that's styled on the model and presents similar items if any item is unavailable to rent right now. This feature, coupled with an overall shift to styled model images on site, has up leveled the usability of the site, and we've been seeing higher engagement on our product pages just in the few weeks since launch. We've also completed the integration of our new product catalog into new search service. As a result, we can tap into the richer and fresher set of product attributes to yield better search results. And over the coming months, customers will see improvements to other discovery features like filters powered by this more robust data set. Our third strategic pillar for 2023 is improving the efficiency and ease of use of our experience. One way we are tackling this is by making our site and app much faster. Since site speed is an area where we lag behind our competitors today. We've already made improvements to two key entry points to our funnel that have improved speed and performance of these pages by over 30%. Another focus area for us is completely revamping our subscriber on-boarding process so that new subscribers have deeper education at their fingertips on how to use our programs and direct contact if needed, with CX Associates to ensure they are receiving what they want right from the beginning of their experience with Rent the Runway. As you know, we launched at-home pickup in 2021 and the service is now available in 34 markets serving 60% of our subscriber base. At the end of Q4 2022, we saw 37% adoption amongst subscribers who had access to our at-home pickup offering. Transportation costs per shipment continues to benefit from at-home pickup. And for the 29% of at-home pickup in Q4 that were live swaps where the delivery and return happened simultaneously, the transportation savings is higher. We've always believed in the strong correlation between home pickup and loyalty. And the data shows us that customers who use at-home pickup churn at significantly lower rates than those who do not. The three strategic pillars were focused on this year are emblematic of a new era for Rent the Runway, where we've transitioned the majority of our energy and attention to continuous improvement of the customer experience. Now that the market for circular fashion is robust and growing and we've built the technology and infrastructure we need to scale, we believe extreme customer focus will help enable us to capture the multi-billion dollar opportunity of fashion subscription. While our customer economics are already strong and our subscribers are profitable, we expect that the loyalty improvements from our 2023 strategies should make our customer unit economics even better over time. We believe our plans will bring our business back to at least 25% active subscriber growth in 2023. And with that, I'll turn it over to Scarlett.
Scarlett O'Sullivan: Thanks, Jen, and thanks again, everyone, for joining us. I will provide an overview of our fourth quarter results for fiscal '22 and then move to guidance for the full year and first quarter of '23, including outlining the impact of the recent change to our subscription program. First, here are the financial takeaways for fiscal '23. We are guiding to accelerated active subscriber growth this year in excess of 25%. There will be a revenue lag relative to subscriber growth. That's primarily due to building from the subscriber count at the end of fiscal '22. We're going to go into more detail on this. We expect strong adjusted EBITDA and margins that partly fund product spend. And therefore, you see that this year we're planning on cutting cash consumption nearly in half versus last year. We believe we're close to a turning point of being able to cover not only our variable and fixed costs, but also the product spend required to maintain our existing subscriber base. In fact, as we grow subscribers more, that means the existing base should generate cash to fund growth. And now on to our Q4 results. In Q4, we generated revenue of $75.4 million, up 18% year-over-year and ahead of our guidance. We had 127,000 active subscribers at the end of the year, up 10% year-over-year and down 6% sequentially. Our active subscriber count at year end is a function of where we ended Q3, which in turn was impacted by the price increase in Q2. And second, we saw our typical higher rate of pause and churn seasonally in Q4. Our record high active subscriber count of 141,000 at April 8th, 2023, up 14,000 from year end, indicates that we have seen a strong pickup in Q1 so far. We are providing average active subscribers as we believe this gives a better indication of revenue in the period than ending active subscribers, which measures subscribers on a specific day. Average active subscribers for a quarter is calculated as the average of the beginning of quarter and end of quarter active subscribers and for the year is calculated as the mean of average active subscribers for all quarters in that year. For Q4, average active subscribers was 130,000 compared with 116,000 in the same quarter last year or an increase of 12% year-over-year. While the large majority of subscribers still enter our mid-tier $144 program. During Q4, we saw a slightly higher proportion of new subscribers entering our lower priced one swap program, which we factored into our expectations for this year. Our revenue beat versus our guidance was primarily due to strength in average monthly subscription rental revenue per subscriber or ARPU, driven by add-on spot. 28% of active subs paid for one or more add-ons in the quarter even in this inflationary environment. Other revenue represented 9% of revenue in Q4 versus 8% in Q4 '21 and up 32% year-over-year. Other revenue included a carryover of $0.7 million from the pilot to sell brand new exclusive designs to Amazon, which we had anticipated. For the year, we generated $296.4 million in total revenue, up 46% versus 2021. We had 129,000 average active subscribers over the year, up 38% year-over-year with ARPU for the year at $147, up 9% year-over-year, aided by the April price increase. 86% of total revenue in fiscal '22 came from subscribers or about $1,980 per average active subscriber for the year. Our Q4 gross margin of 44% was 7.5 percentage points higher than prior year. Fulfilment costs as a percentage of revenue came in at 30% versus 32% in Q4 '21, primarily due to higher revenue per order. For full year '22, it came in at 31%, only slightly higher than full year '21. As we offset higher shipping and wage costs with transportation efficiencies and labor productivity setting us up well to be able to offer an additional item per shipment to customers with minimal impact expected on fulfilment costs. Total product costs came in at 26% of revenue in Q4 '22 versus 32% in Q4 '21 and at 28% for full year versus 35% for full year 2021. This puts gross margin for the year at 40% and up over 600 basis points versus full year '21. Q4 adjusted EBITDA came in significantly ahead of our guidance at $7.1 million versus negative $5.5 million in Q4 last year, representing a positive 9.4% margin and an 18 percentage point improvement versus negative 8.6% in Q4 last year. Our total operating expenses, marketing, technology and G&A represented 60% of revenue compared with 76% in Q4 '21. Employee expenses in Q4 saw nearly the full impact of the restructuring. For the year, we had an adjusted EBITDA of positive $6.7 million, representing a positive margin of 2.3% versus negative 9.4% in 2021. As we mentioned on our last call, we opportunistically pulled forward approximately $4 million of product spend into fiscal '22 as we were able to access highly desirable, desirable products at discounted prices, putting total purchases of rental product at $62 million for full year or 21% of total revenue versus 15% in fiscal '21 as we increased product spend in '22 to support a higher subscriber count. Our more capital efficient non-wholesale channels represented 60% of total spend, excluding the FY'23 pull forward versus 55% in fiscal '21. Even with the pull forward on rental product spend, our fiscal '22 free cash flow margin was better than anticipated and came in at negative 31% ahead of last year's margin of negative 32%. A couple of housekeeping items I want to call out for the quarter. The restructuring related severance charge came in at $2.4 million for the year. In addition, we decided not to move forward with another long-term warehouse CapEx project as part of our restructuring work and recognize a non-cash loss of $1.5 million in Q4 due to the asset impairment. Let's now shift to fiscal '23 guidance. As I outlined earlier, key highlights are the significant acceleration in expected subscriber growth and substantial reduction in cash consumption. Higher subscribers are the most important inputs towards free cash flow profitability. We're very pleased to have started fiscal '23 on strong footing. Let me walk through the details. First, let's start with subscribers and revenue. We expect the extra item plan to have a positive impact on subscriber retention and have incorporated this change along with the impacts of our customer experience initiatives into our guidance for fiscal '23. We expect ending active subscriber growth in excess of 25% compared to end of fiscal '22 with average active subscriber growth for the year in the range of 16% to 18%. We see average active subscriber growth being back half weighted as we build subscribers throughout fiscal '23 and due to the anticipated impact of our customer experience initiatives in the second half. Let me touch on seasonality again. Typically, we see our highest subscriber acquisition in March through May and September through November. We therefore expect the highest sequential growth in active subscribers in Q1 and Q3. We believe the price increase last year significantly impacted Q2, leading to the first sequential decline in active subscribers in Q2 in the last four years. This year, we expect to see Q2 active subs flat to slightly higher than Q1. As for Q4, we have for the last few years seen a sequential decrease in active subs and have assumed the same for fiscal '23. You can take a look at the slide we added in our earnings deck to highlight seasonality. We expect ARPU for full year '23 to be down approximately 4% versus fiscal '22. We anticipate continued high add-on purchases, though, at a lower rate than last year. We have also incorporated a slightly higher mix of our lower priced program into our expectations for this year versus last year, reflecting recent trends. Combining these elements, we are guiding to full year revenue for fiscal '23 of $320 million to $330 million, representing 10% growth at the midpoint of the range versus full year '22. We expect that 2023 will be a story of two halves with stronger revenue growth in the second half of the year. The first half of '23 is impacted by the strong subscriber growth we saw in Q1 of '22 post Omicron. Note that we expect higher revenue growth in Q1 '23 versus Q2 '23 as Q1 '23 will still benefit from the price increase we took last April. Given our focus on growing and promoting subscription, we expect to see lower reserve revenue this year versus fiscal '22. For Q1 '23, we expect revenue of $72 million to $74 million representing a 9% year-over-year growth at the midpoint versus Q1 '22. We anticipate gross margin for the year to be slightly down versus fiscal '22 40% with typical pressure in Q1 and Q3 due to seasonal product acquisition. So we're offering customers an extra item per shipment. We do not expect an increase in transportation costs due to minimal weight increases of shipments. And we intend to continue transportation optimization to absorb carrier price increases. When it comes to labor, we expect continued efficiencies and productivity to mostly offset the additional labor to process additional units. These factors, combined with anticipated lower reserve revenue mean we expect fulfilment costs as a percentage of revenue to be slightly higher than in fiscal '22. In terms of adjusted EBITDA, we anticipate significant improvement in fiscal '23. We intend to keep marketing spend at about 10% of revenue for the year, excluding employee related costs. Having said that, if our initiatives this year result in higher organic growth, there could be an opportunity for reduction in paid marketing. We plan to maintain discipline in our fixed costs, resulting in significant leverage in our operating expenses as we benefit from approximately $25 million in restructuring savings for a full year versus a Q2 '22 run rate. Therefore, for adjusted EBITDA for fiscal '23, we expect a range of 7% to 8% margin. For Q1 '23, we expect adjusted EBITDA margin of 2% to 3% due to seasonal adjustments in marketing and timing of revenue share payments against lower revenue at the beginning of the year. In terms of free cash flow, let me give you the main elements. We anticipate approximately 22% of revenue or $69 million to $72 million in total spend based on our fiscal '23 guidance. Combined with our strong guidance on adjusted EBITDA and the $15 million reduction in cash interest in fiscal '23 from our recent debt restructuring, we anticipate substantially reducing cash burn this year to below $50 million. Bear in mind that our free cash flow guidance is dependent on product spend, which may shift with subscriber growth. We provide a full year expectations for a few other items, so please refer to the guidance page of our earnings deck on our website. And now I'd like to hand it over to Sid Thacker, our SVP of FP&A, to walk you through details around the capital requirements of our business and our path to free cash flow profitability.
Sid Thacker: Thank you, Scarlett. We recognize that it can be difficult to understand the capital requirements of our business. As a result, we want to take a moment and give you the tools to do so and have added some illustrative slides in our Q4 '22 earnings deck. As a reminder, we incur upfront product spend for each of our new subscribers. However, given that we utilize our rental product over a three year period, our subscribers require considerably less rental product spend in each subsequent year. We believe that our business is making rapid strides towards becoming free cash flow positive. In fact, we think we are approaching an inflection point where our existing subscriber base will generate cash flow that exceeds both our fixed cost as well as the amount of product spend they will require. At this point, we expect those subscribers will begin to contribute to funding the capital requirements for growth in new subscribers. Before I walk through the details, I want to outline that this analysis is meant to be illustrative. Let's begin with slide 29. As Scarlett has outlined, we expect cash consumption in fiscal '23 to be better than $50 million. This number is the sum of the cash required or generated by our existing base of subscribers and the cash required for growth. Slide 30 outlines the underlying cash of fiscal '22 ending base with approximately 127,000 active subscribers would require on a maintenance basis. The assumptions driving this analysis are listed on the slide. In summary, we assume our fiscal '23 expected annual revenue per subscriber, along with expected reserve revenue, variable cost items consistent with fiscal '22 levels as a percentage of revenue, the post-restructuring fixed cost base and $30 million in marketing spend. Our product spend requirements for maintenance purposes is estimated to range from $300 to $350 per subscriber per year after their first year. As you can see, these 127,000 subscribers are expected to require approximately $42 million in cash annually. Slide 31 demonstrates the rapid progress we believe we can make with growth in our subscriber base. At our minimum guidance level of 25% growth in active subscribers or approximately 158,000 average subscribers for a year, we believe that our cash consumption can improve by more than $20 million on an annualized basis. With 185,000 average subscribers, we anticipate that we would be free cash flow breakeven on a maintenance basis, meaning that we fully cover our variable costs, our fixed costs, as well as the product replenishment spend required for these subscribers. Note that we don't assume any growth in our reserve business or flow through margins. At that point, our capital requirements are primarily to fund growth in new subscribers. Slide 16 and 33 illustrate that our business benefits from strong revenue retention across historical cohorts as well as favourable customer acquisition costs. Let's start with Slide 16. We have a large and loyal base of customers that support revenue each year. And in fact, over one third of fiscal '22 revenue was generated by cohorts that are more than five years old. Let's speak for a moment about subscriber growth. As Jen outlined, our strategy is to grow revolve around improving the customer experience and driving retention and organic acquisition. As outlined on Slide 32, we believe our cumulative LTV to CAC indicates that our paid marketing spend has been efficient. Our data shows that we break even on our paid marketing spend within 12 months, with the exception of cohorts impacted by COVID. We would be happy to walk through this in detail with any of you. With that, I'll turn it back to Scarlett.
Scarlett O'Sullivan: Thank you, Sid. We believe that we can grow at a 25% sustainable revenue growth rate in the long-term and continue to be intently focused on balancing robust growth with profitability. We will seek to strike the right balance between both objectives and maximize the long-term value of Rent the Runway. Before I hand it back to Jen, I wanted to acknowledge the news we announced earlier today. I'm going to be transitioning out of the CFO role over the next few months, and Sid Thacker, our SVP of FP&A will be promoted to CFO. My nearly eight years here have been among the most meaningful [Technical Difficulty] and I have experienced incredible professional and personal growth at Rent the Runway. Partnering with Jen, this leadership team and the board has been an honor and a privilege. I appreciate their continued belief in me and support of my decision. I could not be prouder of what we built and accomplished together. Having moved from an a la carte business model to a subscription first offering, leading the business through the pandemic and transforming the business financially, so that we're well-positioned for free cash flow profitability. From day one, I've been a huge believer in the vision of a Closet in the Cloud. We created an industry that is growing and thriving and I have deep conviction that the opportunity for Rent the Runway has never been greater. It has been a pleasure working with our investors and analysts. I value the relationships we've built and I appreciate the perspective you continue to bring to the business. I have every confidence that Sid will be an exceptional financial leader for Rent the Runway at this point in our journey and I'm so excited to see the business continue to win.
Jennifer Hyman: Thanks, Scarlett. Scarlett has been instrumental in bringing Rent the Runway to where we are today. Scarlett leaves Rent the Runway a fundamentally different, larger and financially strong business than when she joined us nearly eight years ago. She's a true strategic partner, a passionate business leader, and she's just a fantastic human being. Her hard work has set us up to focus squarely on the customer experience, and she's passing the baton to a new leader at an important inflection point where we've reached a record high number of active subscribers and have demonstrated significant progress on our path to profitability. Thank you, Scarlett, for always acting like a true founder of the business. With that, I'm excited to introduce you to Scarlett's successor, Sid Thacker, whom you just heard from today. We brought him on over nine months ago and he has already made a deep impact on our business. Sid comes to Rent the Runway on the heels of a 20-plus year career as a public company investor and brings with him data driven, analytical thinking, amazing curiosity and fresh eyes challenging us to look at our business in new ways. What impresses me most about Sid is his inherent understanding that the best financial outcomes for Rent the Runway will come from staying laser focused on our customer and improving her experience. I believe deeply in his ability to serve as our finance leader through this next chapter and I'm looking forward to you all getting to know him in the months and years to come. With that, we're happy to open it up for questions.
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Ross Sandler with Barclays. Please proceed with your question.
Ross Sandler: Hey, everybody. Just a question on the extra items slides. Thanks for all that color on the higher retention rate, it looks like -- it's actually having a huge impact given the uptick in active subs as of April. So just a question on, I guess, the overall way to think about the unit economics of adding that one extra item per shipment or two per month. So we're retaining better. It's not really costing us any more in transportation costs. So that's all net positive, but it looks like maybe some of the subs are coming in at that lower price tier versus the 144 plan. So could you just walk us through with a little bit more detail, I guess, what you've seen since the change? And is that the right take in terms of the improvement in unit economics that you're seeing from the extra items? Thanks a lot.
Jennifer Hyman: So let me start it off. First of all, we're seeing incredible customer response. There's a record high number of active subscribers as of April 8th, the 141,000 subscribers. And that's kind of a net addition of 14,000 subscribers in just the first two months of the quarter. Not only are we seeing higher loyalty improvements than we originally even anticipated among our full customer base, we're seeing improvements in our re-join rate and those are the folks that had previously churned. They're coming back. We've seen a decline in the pause population. We've seen some of the highest traffic reach in kind of company history. We've seen higher customer engagement and we're seeing higher shipment volume, which means that they are engaged in these new and enhanced programs. In terms of the financial impact and the relationship to gross margins. I'll just start off to say that the slight decrease that we're expecting in gross margins in fiscal 2023 does not have to do with the extra item program. It has to do primarily with our belief that we'll see a some lower reserve revenue this year because of our focus on promoting subscription and marketing subscription. So Sid or Scarlett can take you through the exact reasons why the extra item program has had minimal impact to the gross margin.
A - Scarlett O: Sure. So I'll kick it off. So, Ross, thank you for the question. As Jen mentioned, we don't expect to see much in terms of impact on the gross margin from the five item program, as you already called out, the transportation is largely covered because there's no additional weight for the additional item. We do see a little bit of extra labor, which is mostly offset by our efficiencies, as we talked about on the call. And then when you think about product, the thing that we're doing is that we don't need to purchase an extra unit to support this additional item, right? We're seeing obviously the benefits of continued mix towards capital efficient models. We are optimizing our realization. What that means is that we're actually saving her having more items at-home rather than on our shelves. And that's great for us and for the business. So even from a product standpoint, we're able to absorb that within the gross margin, which is why really it's, you know, this recent trend on reserve that we've been seeing, we wanted to be prudent, incorporated that in our guidance for this year. And that's why we see, you know, as I said, a slight decrease in the gross margin versus last year. I do want to just touch on one other point that you brought up, which is that you asked about the penetration of the one swap program. I actually mentioned this on the last call, right? That we were seeing a slightly higher proportion of subscribers coming into our one swap program. So that is not a new trend, but it was something that we felt was appropriate to incorporate into our guidance for this year. The very large majority of subscribers are still coming into our two swap program at $144.
Sullivan: Sure. So I'll kick it off. So, Ross, thank you for the question. As Jen mentioned, we don't expect to see much in terms of impact on the gross margin from the five item program, as you already called out, the transportation is largely covered because there's no additional weight for the additional item. We do see a little bit of extra labor, which is mostly offset by our efficiencies, as we talked about on the call. And then when you think about product, the thing that we're doing is that we don't need to purchase an extra unit to support this additional item, right? We're seeing obviously the benefits of continued mix towards capital efficient models. We are optimizing our realization. What that means is that we're actually saving her having more items at-home rather than on our shelves. And that's great for us and for the business. So even from a product standpoint, we're able to absorb that within the gross margin, which is why really it's, you know, this recent trend on reserve that we've been seeing, we wanted to be prudent, incorporated that in our guidance for this year. And that's why we see, you know, as I said, a slight decrease in the gross margin versus last year. I do want to just touch on one other point that you brought up, which is that you asked about the penetration of the one swap program. I actually mentioned this on the last call, right? That we were seeing a slightly higher proportion of subscribers coming into our one swap program. So that is not a new trend, but it was something that we felt was appropriate to incorporate into our guidance for this year. The very large majority of subscribers are still coming into our two swap program at $144.
Sid Thacker: And just so we're clear, I mean, we haven't seen any noticeable change in the one swap penetration prior to five item and now. So there's nothing that five item is doing that -- that changes that so far.
Ross Sandler: Thank you.
Operator: Our next question comes from the line of Ike Boruchow with Wells Fargo. Please proceed with your question.
Kate Fitzsimons: Yes, hi. Good evening. This is Kate on for Ike. Thanks for taking our question. I was hoping if you could just maybe elaborate with the strong Q1 trends that you're seeing. I'm curious if you're seeing any impact from the on the add the extra item onto the swaps just given the change in the plan dynamics there? And then just, you know, at a higher level as we're looking out to next year, how should we think about maybe the change? How should we think about ARPU just at a higher level as we're lapping maybe some of the plan initiative change here? And how should we think about the spread between average subs and revenues once we lap that time? Thanks.
Jennifer Hyman: Thanks, Kate, for the question. Maybe I'll kick it off. So as we mentioned, we are expecting to see an ARPU that is down about 4% this year for '23 versus fiscal '22. We are continuing to see add-on purchases, but we did model a slightly lower rate this year into our guidance. And as I mentioned, obviously we are including a slightly higher mix of the lower priced program. So that's what we see in terms of the ARPU impact. And then on your question of the revenue lag relative to subscription, I do think that's a bit of a dynamic of this year and lapping against last year. And also the subscriber account that we entered the year with, that is not a dynamic that I would expect to persist in the future. And you should see kind of a more even correlation between subscriber growth and revenue growth in the future.
Sid Thacker: Yes. In fact, as we outlined, we expect revenue growth to be significantly stronger in the back half of the year versus the front half of the year, so that directly addresses your question on, you should see that go away through the course of the year.
A - Scarlett O: Yes. I'm sorry, I should clarify. I mean, average active subscribers, right? So as we said earlier in the call, revenue is correlated to average active subscribers and less so to the end of the year number.
Sullivan: Yes. I'm sorry, I should clarify. I mean, average active subscribers, right? So as we said earlier in the call, revenue is correlated to average active subscribers and less so to the end of the year number.
Kate Fitzsimons: Great. Thanks very much.
Operator: Our next question comes from the line of Lauren Schenk with Morgan Stanley. Please proceed with your question.
Nathan Feather: Hey, you've got Nathan Feather on for Lauren. I just want to dig in a touch more on the extra spots. So clearly seeing a lot of benefits without that much investment from a gross margin perspective. I guess where does that put the product utilization at today? And is there still excess capacity in product utilization? And as you go forward, understandably there's a digestion period, but is five items per swap the right number? Or would you hope to continue growing that over time? Thank you.
Jennifer Hyman: Well, we've seen some healthy increases to product utilization related to our five item program. As I mentioned, one of the most important strategic initiatives this year is getting our customers more of the inventory she wants when she wants it. She just -- simply she comes to Rent the Runway for fashion. And so giving her more items directly impacts her loyalty. When she has more items, more items fit her, she wears more items and she stays with us significantly longer. One of the things that we went into in more detail on this earnings deck that we published was that over 50% of subscriber churn happens in the first 90 days after she joins us. And so much of that is actually just related to how many items she wears from us. So we're really encouraged that by focusing on not only adding new brands, new styles, but also upping her utilization of the product that we have, that we are increasing her loyalty rates, which also helps us increase the organic growth of Rent the Runway.
Sid Thacker: I mean if you think about our inventory, what five item has allowed us to do is to a number of things that work well for us and our customers, right? The first thing it does is it allows us to bring a lot of newness, a lot of freshness to our inventory, right? So every piece of inventory is not created the same. As we grow our subscriber base -- and that is clearly something that five item is allowing us to do, we bring in a lot of new inventory for our customers. So that creates a tremendous amount of excitement with our customer base. The other thing we outlined -- that Jen outlined in her remarks is we're working to improve and optimize that assortment so that our customers can more easily find the items that they're looking for. So I think we're being strategic about our choices on inventory, and I think our customers are noticing.
Jennifer Hyman: And I think that the question of like, is this the right number? Our strategy is we need to tangibly improve her customer experience and the customer value that we're delivering every quarter. It should be obvious to customers that we're innovating and her experience is getting better. We don't know what that will mean for the future. It means that five items at a time is the right number. We know that we'll very quickly see the data with our customers and know how we should continue to push and innovate. But we feel very confident that the three pillars, the three strategic pillars that we've really aligned our resources to this year are going to contribute to even higher retention and even higher organic growth of our business because they align with the top reasons why customers have told us they -- the top opportunities for us to improve their experience and the top reasons why customers stay.
Nathan Feather: Super helpful. Thank you.
Operator: Our next question comes from the line of Andrew Boone with JMP Securities. Please proceed with your question.
Andrew Boone: Good afternoon and Scarlett all the best in whatever comes next.
A - Scarlett O: Thank you.
Sullivan: Thank you.
Andrew Boone: Two from me, please. One is, Jen, you talked about a change in the onboarding process. Can you just flesh that out for us? Is there any keys that you're really focused on to getting subs passed that [Technical Difficulty] with this new [Technical Difficulty]. And then secondly, really a big picture question is, Jen, let's step back, right? It's been about a year or more -- with the IPO. Can you talk about the TAM and just any changes that you feel in terms of the overall opportunity as you've just seen more of the market and investors have talked to you more? Thanks so much.
Jennifer Hyman: Yes. So I think that the TAM is really proving itself out to be a much bigger and more robust and faster-growing market than even when we IPOed 18 months ago. One of the things that we're really excited about is that we're not the only game in town and that there are other companies that are offering subscriptions to fashion, and it's really proving out that hundreds of thousands of women, in the United States every single year, want to subscribe to fashion and that this is a real market and it's growing really quickly. Now what we're excited about is that we really hold the place as the premier player in fashion designer rental. And what that means to us is we have the highest value rent, we have the highest spend customer base. And it sets us up really well for the current macro. So our customer strategies, our focus on delivering for the customer and delivering them more value, which, by the way, these strategies are working, these strategies are also in tune with how do we take the competitive advantages that we have and how do we continue to expand them and continue to drive more value at this kind of premium end of the market that we uniquely own. So we feel fantastic about this market and our shift towards putting the majority of our company resources into improving and innovating the customer experience, comes at a time when I think the customer overall is more open to considering a fashion -- a subscription to fashion than she's ever been. Now the change in the on-boarding process is something that we're really excited about. It will be launching over the next few weeks. It is going to be one-to-one communication between customer service associates and subscribers, ensuring that their first 60 days with us is perfect, that they have someone to ask questions to, that we're sending them proactive videos and content that we know is appropriate for their kind of stage in the journey. And we again occupy this premium positioning in fashion designer rental. Buying a subscription to Rent the Runway should feel like a luxury experience. It should feel like you have your own personal concierge that is guiding you through and ensuring that they are cementing this behaviour and teaching you how to rent. So we think that the impact that new on-boarding can have can be high. We're very excited about it, and we'll be excited to come back and share results as we implement and iterate.
Andrew Boone: Great. Thank you.
Operator: Our next question comes from the line of Ed Yruma with Piper Sandler. Please proceed with your question.
Edward Yruma: Hey, guys. Thanks for taking the question. Scarlett, thank you for all the help through the entire process. I guess just to click back on this extra item and sorry to belabor the point, but do you care make sure we're not conflating two things. When you saw the higher number of subs at the lower price point, do you believe at this stage that was driven by the higher item? Or do you think that there's just something in the consumer today that's causing new subs to gravitate to the lower price point plan? And then as a follow-up, I just want to make sure I'm crystal clear. So you're not anticipating incremental capital usage as a result of the extra item. It's just kind of, I guess, sweating the existing assets you have a little bit harder? Or how should we really think about the cash cost of the extra item over time? Thank you.
A - Scarlett O: Thank you for the kind words. I'll kick it off. So as we mentioned earlier, we actually started seeing a little bit higher penetration of the one swap program even before we had the extra items. So I do not believe that those are correlated, and that was already something that we had mentioned in Q4. So you should not interpret that in any way related to the five items. And then in terms of cash consumption, I think, look, the best thing that I can point you to is the rental product purchases as a percentage of revenue, right, in spite of the fact that we are adding this additional item in customer shipments, our product spend last year as a percentage of revenue was 21%, and I've guided to it being approximately 22%. So a little bit higher, but you can see that we feel so really good about being able to deliver this incredible additional value and still maintaining a very similar percentage of revenue.
Sullivan: Thank you for the kind words. I'll kick it off. So as we mentioned earlier, we actually started seeing a little bit higher penetration of the one swap program even before we had the extra items. So I do not believe that those are correlated, and that was already something that we had mentioned in Q4. So you should not interpret that in any way related to the five items. And then in terms of cash consumption, I think, look, the best thing that I can point you to is the rental product purchases as a percentage of revenue, right, in spite of the fact that we are adding this additional item in customer shipments, our product spend last year as a percentage of revenue was 21%, and I've guided to it being approximately 22%. So a little bit higher, but you can see that we feel so really good about being able to deliver this incredible additional value and still maintaining a very similar percentage of revenue.
Edward Yruma: Maybe one more if I could sneak one in. On the Amazon pilot, any kind of update when you move forward with it, any learnings? Thanks so much.
Jennifer Hyman: So just as a reminder, first, like why do we work with partners like Amazon? The first is that it really proves out the market arguably the most important retailer in the US and one of the most important retailers globally is making resell a part of their strategy, and we wanted to be a part of that. And it's validating second-hand closing. And then, of course, we want to maintain the salvage value that we've always shared with you that we derive from our products after they go through their rental life cycle on our site and really prove out the sustainability and the long useful life of the closing and accessories we have on our platform. So we've gained some really interesting learnings from the Amazon pilot that is going to help us inform our strategy going forward. But it's still early days. So stay tuned for data as we move forward.
Edward Yruma: Thank you.
Operator: Our next question comes from the line of Rick Patel with Raymond James. Please proceed with your question.
Rick Patel: Thank you. Good afternoon, everyone. Question on the strategy to accelerate active subs to at least 25% growth this year. Does guidance assume that both new customer acquisition and retention rates accelerate? Or does it reflect a much more meaningful contribution from retention? We're trying to better understand the assumptions behind the contributions from new customers versus reducing churn?
Sid Thacker: Sure. I think the two primary assumptions that underlie the extra item logic are, number one, we expect a significant retention benefit as customers see this value and actually are able to use this extra item as part of their everyday life. The second thing we've assumed and seen is a significant increase in the percentage of former customers re-joining and restarting the subscription, right? So that is the -- those are the two underpinnings of the extra item launch. Of course, we've seen higher traffic. I mean we've seen lots of other benefits. We've seen lots of excitement among our customer base. And I think I'd go back to the statistics that we outlined in our earnings deck, 60% of all our customers hear from us from a friend or from someone they know, right? So I think the more excitement we can generate, the more value we provide, the better the customer experience, the more people are likely to talk about. And ultimately we do think that will lead to better organic acquisition, though, that is not something we've assumed in our numbers.
Rick Patel: And maybe we can take a step back and just think about the bigger picture, like the strategy to grow new customers, how do we think about the white space in terms of people that don't know about Rent the Runway that could learn from it and become customers? And for those that know about and haven't signed on yet, which levers do you have the highest conviction on in terms of getting them off the fence?
Jennifer Hyman: We think investing in improving the customer experience is the very best way to drive organic growth of the business. So we shared during our IPO that 80% of our acquisitions historically has come to us organically. We shared in the earnings presentation today, that in the past few years, it's maintained that 80% of our acquisitions have come to us organically. And so as we continue to improve experience, as we continue to improve her retention, we see a direct correlation to even higher rates of organic acquisitions because, again, people use this subscription multiple times a week. When they are happier, they post more reviews, they share it more frequently, and it leads to more new customers finding out about us and joining. So we really think that the key to growth in new customers is this continued investment into customer experience, which drives retention, which then drives organic acquisitions.
A - Scarlett O: And just to be clear, Rick, our 25-plus percentage active subscriber growth guidance that we're giving is a combination of those two things, right? So it's both the retention, but also obviously continuing to bring in new customers into the business.
Sullivan: And just to be clear, Rick, our 25-plus percentage active subscriber growth guidance that we're giving is a combination of those two things, right? So it's both the retention, but also obviously continuing to bring in new customers into the business.
Rick Patel: Great. I wish you all the best, Scarlett and Sid congrats on the new role. Thank you.
A - Scarlett O: Thank you, Rick.
Sullivan: Thank you, Rick.
Sid Thacker: Thanks.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
Jennifer Hyman: Thank you so much to everyone who joined us today. I'm excited about our plans to accelerate our path to profitability and the long runway for growth ahead. We look forward to continuing to update you on our progress on our Q1 2023 call in June. Thanks again for joining us.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.